Operator: Good morning. My name is Maria and I'll be your conference operator today. At this time, I would like to welcome everyone to the First Quarter 2021 Discover Financial Services Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. 
Eric Wasserstrom: Thank you, Maria and good morning everyone. Welcome to this morning's call. I'll begin on slide two of our earnings presentation which you can find in the financial section of our Investor Relations website investorrelations.discover.com. Our discussion today contains certain forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially. Please refer to our notices regarding forward-looking statements that appear in today's earnings press release and presentation. Our call will include remarks from our CEO, Roger Hochschild; and John Greene our Chief Financial Officer. After we conclude our formal comments, there will be time for a question-and-answer session.  Now, it's my pleasure to turn the call over to Roger. 
Roger Hochschild: Thanks Eric and thanks to our listeners for joining today's call. Last April, if you told me to the year into the pandemic we'd be reporting excellent credit performance, positive sales trends, and solid earnings growth, I wouldn't have believed it. While the pandemic is far from over and there may be twists and turns ahead, as a nation, we have made tremendous progress toward addressing the health crisis and reopening the economy. This quarter we earned $1.6 billion after-tax or $5.04 per share. I'm very pleased with these results, which reflect our robust business model; strong execution including a disciplined approach to managing credit; improving economic trends; and the impact of federal support for US consumers. Since the end of 2020, our view on economic conditions has improved. The rapid pace of the recovery has lessened our concern of job losses spreading to the white collar workforce and there has also been substantial support for the US consumer through stimulus in January and in March. Our current expectation is that credit losses in 2021 will be flat to down year-over-year. This improved economic view combined with lower loan balances and continued strong credit performance were the primary drivers of $879 million reserve release in the quarter. As discussed in previous quarters, the strong credit performance was accompanied by elevated payment rates that continue to put pressure on loan balances, which were down 7% year-over-year. Payment rates were over 350 basis points higher than last year and at their highest level since the year 2000.
John Greene: Thank you, Roger. Happy Birthday, Wanji. And good morning everyone. I'll begin by addressing our summary financial results on slide 4. As Roger indicated, the results this period reflects many of the same dynamics we've seen over the past few quarters. The influence of stimulus resulted in elevated payment rates, which pressured loan growth. It also contributed to the strong asset quality and our significant reserve release in the quarter. Revenue net of interest expense decreased 3% from the prior year mainly from lower net interest income. This was driven by a 7% decline in average receivables and lower market rates partially offset by a reduction in funding costs as we continued to manage deposit pricing and optimized our funding mix. Non-interest income was 5% lower, primarily due to a $35 million net gain from the sale of an equity investment in the prior year. Consistent with our excellent credit quality, lower loan fee income reflects a decline in late fees, while net discount and interchange revenue was up 12% from the prior year reflecting the increased sales volume. The provision for credit losses was $2 billion lower than the prior year, mainly, due to an $879 million reserve release in the current quarter compared to a $1.1 billion reserve build in the prior year. Our improved economic outlook, lower loan balances and strong credit drove the release. Additionally, net charge-offs decreased 30% or $232 million in the prior year. Operating expenses decreased 7% year-over-year as we remain disciplined on expense management. Other than compensation, all other expenses were down from the prior year led by marketing, which decreased 33% year-over-year. Looking ahead, we intend to accelerate marketing investments over the remainder of the year. We'll go into details on our spending outlook in a few moments. Moving to loan growth on slide 5. Total loans were down 7% from the prior year driven by a 9% decrease in card receivables. The reduction in card receivables was driven by two primary factors; first, the payment rate remained elevated driven by the latest round of stimulus and improved household cash flows; second, promotional balances have continued digit decline reflecting the actions we took at the onset of the pandemic to tighten credit.
Operator: Thank you.  We'll take our first question from Sanjay Sakhrani of KBW.
Sanjay Sakhrani: Thanks. Good morning. I have a question on loan growth and marketing. Roger you talked about moving standards to pre-pandemic levels. Maybe you could just talk about the opportunities for growth relative to 2019 and how we should think about the marketing budget in relation to that? And then maybe you could just also tie in your confidence level on the loan growth given the stimulus? I mean, it seems like you guys have kept it flat in terms of loan growth expectations. So maybe just elaborate on that. Thanks.
Roger Hochschild: Sure. Thanks for the question Sanjay. Maybe starting then with the stimulus. Clearly, one of the biggest differences versus 2019 is the payment rate. And that's partly driven by the cash payments to consumers the savings rate, but also the relief they get be it on their federal student loans or other payments they have to make. And so that's a real headwind against loan growth. And as I mentioned on the call, it's actually at the highest level since the year 2000. In terms of marketing, we feel very good about the cost per accounts about the projected returns we'll get on those have widened our credit box back to the pre-pandemic. Although as you recall we have been tightening for a couple of years and I would say continue to remain conservative in our overall credit approach. So, I really think it's a headwind from payment rates that has kept us from being even more enthusiastic about loan growth.
Sanjay Sakhrani: And when we think about the marketing amount in relative to 2019, is there any context you could provide for that? Sorry for the follow-up. 
Roger Hochschild: Yes. I think part of it and John indicated this, I think, we're probably more comfortable giving you some view around where we expect total expenses to be. But also it will depend on what we see in the back half of the year. And so to the extent we see opportunities to deploy more capital against organic growth, we've been clear that's our top priority. And so that's why we'll -- we're continuously revisiting where and how much we should allocate to market.
Sanjay Sakhrani: Thank you.
Operator: Our next question comes from the line of Ryan Nash of Goldman Sachs. 
Ryan Nash: Hey, good morning guys.
Roger Hochschild: Good morning.
Ryan Nash: So, Roger, John, on capital post this quarter's performance, you're at 15% CET1. You talked about reevaluating in the second half of the year. I guess given the outlook for credit potential for further reserve releases, I think it's fair to say you guys are going to be building in capital in the near term. So how should we think about the time frame of getting back to that 10.5% CET1 level? And how does that -- how does CECL day one factor into that? And I guess Roger as a follow-up to that just given all the capital sitting around does it at all change the way you think about acquisitions? And if so what would be the priority? Thanks.
John Greene: Okay. Hey, Ryan, thanks for the question. I'll start it and then I'll turn it over to Roger for the second piece of the question. So, really, really strong performance. And the economy has strengthened beyond our expectations as we said in our prepared remarks. So we came into the year somewhat optimistic, but also cautious given the amount of uncertainty. What we're seeing is kind of a broad-based improvement in the economy, our credit fundamentals have been extremely strong. As a result, we made a decision to -- an appropriate decision to release about $900 million of reserve taking the – obviously, the CET1 ratio well above our internal target of 10.5%. We're looking to come back to that 10.5% point. We're not going to do it overnight. We know the CECL transition is somewhere between 200 basis points and 250 basis points on CET1, but that still leaves ample room for actions in terms of dividends, buybacks and targeted M&A, when and if appropriate. So specifics around timing getting back to 10.5%, I would broadly say medium term, but we're certainly committed to that target. And we'll do a number of efforts, including revisiting our buyback levels in the second half of this year to get there. And the follow-up might be, what do we expect the buyback levels to be incrementalized to? We're not going to give specifics, but I will give a little bit of history. If you go back to 2017 and 2018, our level of buybacks was about $2 billion. I'm not saying history is going to repeat, it will be subject to a bunch of conversations with our team internally and then obviously Board approval, but we'll continue to evaluate. So, Roger you want to?
Roger Hochschild: Yeah. And on the M&A front, we try and be disciplined. And so I would say, would not let extra money burn a hole in our pocket. For those of us – for those of you who've been with us for longer, you'll recall we had significant excess capital post the financial crisis. We're limited by the payout ratios in the CCAR process. But as said, we will return it over time and stay disciplined. So as we think about M&A opportunities on the banking side, not much out there that fits with our digital model. You're seeing acquisitions that are branch mergers cost takeout which doesn't fit. And then on the payment side, while valuations have come in, they're still really high. And so we lean a bit more towards partnerships, potentially smaller minority investments. So again, I think you can expect no change to our disciplined approach around returning capital to our shareholders. 
Ryan Nash: Got it. And if I could squeeze in one other? So, on the slightly higher expenses, John, can you maybe just help us. What is the base for that? Is it GAAP or adjusted? And then second, Roger, there's numerous mentions of accelerating investments in data analytics and account growth. Can you maybe just give us a sense for what you would need to see for those – for you to bring those investments on in terms whether it's in the macro account acquisition? Or what would you expect to drive that? Thanks.
Roger Hochschild: Great. Real quick. First part of your question, the expense growth relative to cap last year. And then on the investment side, a lot of those are on capabilities, especially in the data and analytics area that just enhance all parts of our operations, whether it's the credit underwriting, the marketing, targeting, personalization, collections et cetera. And so they are given the return profile, part of it is just bandwidth and talent, I would say are more gating factors, but we're really excited about the benefits. And then in terms of putting more dollars to work on the marketing side, it will vary. Competitive activity has a bit of an impact on that, but we will just look at it on the new account side, what we're seeing across different channels and carefully at those marginal opportunities and the returns they generate.
Ryan Nash: Thanks for all the color.
Operator: Our next question comes from the line of John Pancari of Evercore ISI.
John Pancari: Good morning.
Roger Hochschild: Good morning.
John Pancari: Given your commentary on expenses and your plan to invest selectively there on the marketing side, can you perhaps maybe help us think about the efficiency trend longer term? I know, you came in around 38.7% in terms of the ratio this quarter. But did you think about, what is a reasonable long-term expectation as we look out? Thanks.
John Greene: Yes. Happy to cover that. So as we went through the pandemic, we really scrutinized the expense base, and there's been a long history of expense discipline in this company. And through the pandemic we found certain opportunities. So as we think about the balance of this year, next year, and going forward, we're going to continue to focus on controlling corporate costs, so that we can invest savings back into overall growth levers. And we've done that, and we're going to continue to do that. As we think about the efficiency ratio, we'll come in this year somewhere around where we finished last year, I think assuming revenue comes in with the modest growth we talked about in loans. And going forward, I would expect somewhere in the upper 30s would be a reasonable spot. That will indicate that we're driving efficiencies and still investing in the business. Any follow-up now?
Operator: Our next question comes from the line of Bill Carcache of Wolfe Research.
Bill Carcache: Roger and John, there's a lot of debate taking place around what's going to happen with rates, whether we get more steepening at the long end and when we'll get lift off of the short end. Is Discover's ability to get to a mid-20% ROTC at all impacted by what happens with rates? Maybe another way to ask it is, can you talk about your confidence level in being able to get to a say mid-25% type ROTC even if the SERP remains in place?
John Greene: Yes. Thanks, Bill. So, specific to rates, so if rates begin to increase, there's indications that a number of different things that are happening in the economy. So, you would expect inflation to be increasing a very, very low level of unemployment, probably near full employment for the economy and a robustness that might rival kind of the pre-pandemic levels on a sustained basis. And so, you have to believe that there are a lot of different things that are going to happen. And as I said, also, we'll take some actions to control inflation. Now, we've seen this over a number of years now that the Fed and overall interest rate environment has been on a sustained basis very, very low. As we look forward to 2021 and 2022, my expectation is rates will remain low, and we'll enjoy the benefits of an economy that's continuing to grow. Beyond that, it gets different -- more difficult to call. In terms of total return levels, it will depend on a number of factors. Rate is just one of those. Credit obviously would be an important item. But certainly, longer term, we think that we're in a position to drive high returns for our shareholders consistent with what we've done historically and our hope is when we come back to that 10.5% target that that will further enhance overall returns.
Bill Carcache: Got it. Thank you. As a follow-up, you've discussed the opportunity in the student lending space among customers who may not have been thinking about refinancing their student debt to lower rate when their loans went to forbearance but as loan start to exit forbearance, is there going to be an opportunity for you guys to see an acceleration there?
Roger Hochschild: Yes. So, we don't really participate in the student loan refi market. The pricing doesn't really meet our return hurdles. To the extent, there is more activity it can marginally impact the payment rate for student loans. But we feel really good about where we're positioned. And I think last year was very challenging. There's a lot of kids either deferred for a year or had reduced expenses, because they didn't have meals or housing, et cetera. So again, yes, we feel good about what this peak season should bring and our ability to continue gaining share.
Bill Carcache: Thank you for taking my questions.
Roger Hochschild: Thanks, Bill.
Operator: Our next question comes from the line of Betsy Graseck of Morgan Stanley.
Betsy Graseck: Hi. Good morning.
Roger Hochschild: Good morning.
John Greene: Good morning.
Betsy Graseck: A couple of questions. One you were talking earlier about widening standards in particular in card. And I just wanted to get a sense as to what you're expecting that will drive? Is that both an increase in accounts as well as higher lines extended to your existing accounts? And then, could you give us some color on how you expect to pull in the new clients given the fact that the consumer is in a fantastic spot? Are you pulling from other folks? Or do you feel like this is generating new demand from maybe a younger cohort that's not been borrowing yet? Some color on that would be helpful. 
Roger Hochschild: Sure. So in terms of the credit expansion, it's probably more heavily impacting new accounts, but also encompasses sort of our line increase and other criteria on the portfolio side as well. In terms of where I expect, I would say in all times, we give cards to consumers who are in good shape. But we do have particularly strong appeal to millennials and students. Our secured card is performing well in the marketplace. But then also the traditional prime revolver segment that Discover has always targeted. It's a very competitive business. It always has been. So, it's about differentiation. And there a superior customer experience a great rewards program focus on value those traditional things are what allow us to continue gaining share and booking new accounts. 
Betsy Graseck: It's interesting because your value prop very clear especially versus other card lenders with no fee etcetera. How do you think you're positioned against the Fintechs who also have a light or low or no fee proposition? 
Roger Hochschild: So there aren't that many of the Fintechs that are active yet in the card space. By and large they do loans of different types. And so, we've yet to see a significant, I would say Fintech player in the card space. And most of our competition tends to be the traditional leaders in the marketplace. 
Betsy Graseck: Okay. And if I could squeeze one in for John. You mentioned in answer to the prior question or two ago around the total expense outlook that you're thinking about for the full year 2021. And I think you mentioned that you're expecting 2021 to come in similar to the end of '20? And then from there as we look to '22 and beyond migrate back towards like the high 30s? Could you just give us some color as to the end of '20 expense ratio that you're thinking about? Because there's a couple of different ways you could slice based on one-timers. Is that a run rate that's north of 40% on the efficiency side? Maybe you could help us understand your sizing there? 
John Greene: Yes. So we used a GAAP basis on that. And so, the one-timers that were included in an underlying number that actually we didn't publish, but we called out the underlying numbers. It was about $200 million. So the operating efficiency is going to be dependent upon what we see in terms of loan growth payment rate and new account generation which as Roger said, and I'll echo the comments, we're very positive about how we're positioned to drive growth in the -- especially in the second half of the year as the payment rate abates a bit. So what you can expect here and I'm trying to provide as much detail as I can, is that outside of the marketing investments we talked about, some select investments in data and analytics, we're looking to keep all other costs flat. And we're going to manage that envelope as we see opportunities. But we'll be able to use that as a jumping off point to drive further improvements and efficiencies in '22 and beyond. 
Betsy Graseck: Okay. And so the $200 million is what we should x out to get to operating that's on the expense side? 
John Greene: Yes. Subject to growth and what we see as opportunities. So there's no absolutes. But – and as time goes on we'll have more clarity on the opportunity. 
Betsy Graseck: And then if I look pre-pandemic right... 
Roger Hochschild: So Betsy we do have some other questions to get to. 
Betsy Graseck: All right. 
Roger Hochschild: So we'll follow up later. Thanks. 
Operator: Our next question comes from the line of Mark DeVries of Barclays. 
Mark DeVries: All right. I was hoping you could give us some color on where we should expect the reserve ratio to migrate to? Is it appropriate to think about it going back to kind of the CECL Day one level? And if so, at what pace could we get there? 
John Greene: Yes. Thank you. So, we took a meaningful chunk out of the reserve levels, this quarter. Honestly, the credit outlook and our models indicated that there was a range of different outcomes we could have made on that. And what we tried to do was, take a chunk out of the reserves that made sense given, the level of absolute uncertainty in the economy. As we look forward, the absolute reserve level or reserve rate will depend on what we see in the macros, how the portfolio is performing, and what we do in terms of account growth loan balance. But overall, as we think about where the provision levels could be, I would use the Day one CECL rate as a decent proxy. And subject to, how the portfolio is performing it could migrate up or down from there. What we did last year in the first quarter and the second quarter was react to an incredibly, dynamic and changing macro environment. And we prudently put up an incremental $2 billion. So, if the portfolio performs over time we could get back to that CECL Day one and perhaps, a little bit lower with excellent portfolio management. Now timing I'm not going to be specific on.
Mark DeVries: Okay. That's helpful. Thank you.
Operator: Our next question comes from the line of Don Fandetti of Well Fargo.
John Greene: Good morning.
Don Fandetti: Hi. Good morning. Roger, as we went through the pandemic, obviously there's more e-commerce spend. And is there anything that you've learned in terms of like, how you would position the company differently? It seems like big tech and technology are continuing to gain more touch points with customers. Is there anything strategically that you want to lean into or you've learned?
Roger Hochschild: Great question, I think, it really accelerated a lot of trends that were existing prior to pandemic right? So consumers were already migrating more and more of their shopping online, but that moved even quicker. Their customer interactions were moving more towards digital that accelerated even further. So I think it had us recommitted to the path we were on and looking to accelerate some of the functionality. Certainly there were some specific things around the tap-and-go cards a lot of small dollar transactions migrating from cash to debit that benefited our PULSE volumes. But I would say in general, not so much new trends but, three, four, five year accelerations of trends that were already there and that we have been positioning the company to take advantage of.
Don Fandetti: Got it. And on the potential investments or partnerships, would those be accretive? Or could they potentially be more technology investments?
Roger Hochschild: Where we traditionally made them on the payment side is, with partners that either, add capabilities or to cement a relationship that will drive volume over our network. On the technology side, we found, plenty of great partner/vendors out there that you don't need -- people don't need money in the current environment. And so that's why we tend not to do investments in pure technology companies that aren't payments related.
Don Fandetti: Thank you.
Operator: Our next question comes from the line of Rick Shane of JPMorgan.
Rick Shane: As you look forward to loan growth, how much opportunity is there to category-specific rebound, that's more indexed to borrow like travel for example?
Roger Hochschild: Great question, I think that will be constructive. Some of the categories that were strongest through the downturn though had a pretty good revolve rate. So you think about home improvement that was really doing well. So a lot of it I think will be in the restaurant and travel segment, but I wouldn't necessarily expect a huge boost to revolve rate just given again some of the categories that were strong in the downturn.
Rick Shane: Got it. Okay. Thank you very much.
Operator: Our next question comes from the line of Mihir Bhatia of Bank of America.
Mihir Bhatia: Good morning and thank you for taking my question. Just really quickly I wanted to ask about competitive intensity. First, are you seeing any impact on cost of acquisition as customers have come back? I know that had trended very well last year and that's an area you'd be making investments in. And then maybe I'll just ask my -- the related question I had on that. Last year Discover's no annual fee, no cash back card was just really well-suited for the backdrop. As we reopen and maybe travel rewards become more relevant for consumers, are you seeing any impact on your usage? Any early indicators from consumers who would maybe move your card to top of wallet last year and what you're seeing? So just I guess competitive intensity more broadly? Thank you.
Roger Hochschild: Yeah. So I'll start with the second one. We are not seeing an impact. And we think the lesson learned in the pandemic of the utility of cash awards hopefully will last. And we feel very good about even the newer redemption offers we've added. So the ability to redeem at point-of-sale with PayPal with Amazon, we've just announced the ability to redeem for carbon offsets, which we think will be popular with millennials. So no real change to that. In terms of competitive intensity we talked about it. They're just extraordinarily attractive cost per account last year as there was a significant pullback. I think we're now moving towards more normalized levels of competition. And my guess is we'll see that increase. But our job is to grow the business in face of the competition that's there. And so while I missed the CPAs from last year, we feel good about the returns we'll generate from our marketing even in a more intense environment.
Mihir Bhatia: Understood. Thank you.
Operator: Our next question comes from the line of John Hecht of Jefferies.
John Hecht: Good morning guys. Thanks very much for taking my questions. First question and Roger you addressed some of this with respect to the loan growth, maybe you talked about it being a mix of line utilization and new customers. I'm wondering is there one bigger contribution to that relative to the others? And what's the cadence, is this more of a second half factor, or is this going to be balanced over the course of the year? 
Roger Hochschild: Yeah. So on the cadence I do expect marketing expenses to ramp up over the course of the year. They weren't overly large Q1. But again with the wider credit box we'll get more leverage for the marketing spend, and so we would expect a ramp. But we'll look at that continuously and make adjustments as we see fit. In terms of the impact of the credit changes, it's probably more heavily weighted towards the new account side versus portfolio. But we always look for a blend of those two as we think about growth.
John Hecht: Okay. And then…
John Greene: And then -- sorry, go ahead John. Please go ahead.
John Hecht: John just more of a concept question, we're a year into CECL now and obviously it's had a pretty big impact in how things have turned out from a GAAP perspective. How do you stack the major decision-making factors with respect to your ALL now? Is it the Moody's model? Is it unemployment? Is it just your internal opinion of your performance trends? How have things changed with respect to the way you look at that ALL level?
John Greene: Yeah. Good question. So certainly evolving. So we use Moody's and also two other providers. So the broad macros are very important. The portfolio performance itself is also, obviously, a key input. And we have a team of technical modelers that have run various scenarios regression, sort of, scenarios to help make a determination on what overall life of loan losses could be, which is a key input. Because there's probably 12 to 15 different variables that go into that model that help do the projection. And then the other piece is your loan balance right? And what you have on the balance sheet as of the measurement date in order to set reserves. So, I would say, all of those factors are important. And then finally, one other one is the recovery rate, which actually also does go into the model, so four important factors. And we've taken a measured approach to ensure that our balance sheet is appropriately stated and we're on the conservative end of the judgment calls.
John Hecht: Appreciate the context. Thank you.
Operator: Our next question comes from the line of Meng Jiao of Deutsche Bank.
Meng Jiao: Hi, good morning. Thanks for taking my call. So, it looks like monthly sales for travel and restaurants and retail seems to have pretty much materially accelerated from February into March and particularly for restaurants. Have you guys seen that carrying over into April as well?
Roger Hochschild: Yes. Yes. Yes, we have actually incredibly the sales performance the first three weeks of April versus 2019. Overall, were up about 17%. And it's three weeks into the month, so things can change. And then versus last year was certainly dented significantly by the pandemic. We're up 68% on sales, so, really strong there, and the mix between revolvers and transactors. Obviously transactors are up higher than revolvers, but revolvers are up, almost near double digits versus prior year, so all good.
Meng Jiao: Great. Thank you.
Operator: Our next question comes from the line of Moshe Orenbuch of Credit Suisse.
Moshe Orenbuch: Great. Thanks. Most of my questions actually have been already asked and answered. But maybe if you could just follow up on two quick points. One is, the payment rate, the stubbornly high payment rates and how that will likely decline. I mean, is there -- I guess maybe the question is, how much of that is a function of the actual stimulus dollars versus some of the ongoing impacts that you highlighted, whether it's enhanced unemployment benefits, student loan interest forbearance in terms of thinking about the pace of that decline? And then just very quickly, you talked about the CECL Day 1. Just conceptually, do you think that the life of loan has a higher or lower likelihood on January 1, 2022 of a near-term recession on January 1, 2020? 
Roger Hochschild: So, I'll cover the first part, and I'll let John forecast recessions. In terms of the elevated payment rate, it is a mix, but you are seeing a lot of it come from the governmental support. And so, we do expect it to come down over the course of the year, but remain elevated compared to historic levels. And this is because, households have a lot of savings withdrawn and there are just a lot of other forms of support. So, it's not -- it is a headwind against loan growth. It's really being driven by external factors. So, I would say we're not overly alarmed about it. And again, we would expect it to start drifting downward, as we get further past the really extraordinary levels of government stimulus. And I'll pass it to John for the questions on reserves.
John Greene: Great. So, yes, I think what you're getting at is, what will be our macro assumptions at the end of this year forecasting out to 2022. So today, obviously, there's no perfect answer or perfect insight. I will say this, the pent-up demand for consumers, I believe, is fairly pronounced and will continue to drive spending activity through this year and well into next year. So that, to me, indicates that the macros should be positive through 2022. Beyond 2022, it's really difficult to call at this point.
Moshe Orenbuch: Okay. Thank you.
John Greene: You’re welcome. Thanks. Thanks for the questions.
Operator: Our next question comes from the line of Kevin Barker of Piper Sandler.
Kevin Barker: Good morning. Could you give us a little bit more detail on some of the investment spend you're making on data analytics and driving account growth? And then also, is there any way to quantify how much incremental spend you're putting into that and returns that are being generated from that, whether it's additional growth or other trends that we can identify to quantify the growth or the investment returns that you're getting?
John Greene: Yes. Great. So I'll hit the second part of that question first. So in terms of returns, we have a rigorous process where we take a look at incremental investments to ensure that they deliver strong cash-on-cash returns. And in terms of ROEs or return thresholds, I won't be specific, but very, very strong double digits on those, in line with what you can expect from the company on a normalized basis in terms of return on capital. In terms of what we're investing in data analytics specifically on -- I'm looking at the attrition from the portfolio, we feel like there's an opportunity to reduce attrition level through some early identification of customers who may not be maximizing the usage of the card. We have data analytics projects going on in collections. I mentioned in our prepared remarks in fraud and fraud analytics. So there's -- frankly there's almost insatiable demand for these sorts of programs. And what we are, we're being very, very selective in terms of making sure that we prioritize the highest returning ones in the current year.
Kevin Barker: Okay. Thank you.
John Greene: You’re welcome.
Roger Hochschild: And Maria, why don't we make this our last question please? 
Operator: Our final question comes from the line of Dominick Gabriele of Oppenheimer.
Dominick Gabriele: Hey. Thank you so much for taking my question. I just wanted to go back to the expenses. And sorry, I don't mean to beat a dead horse here. If you look at the GAAP operating expenses in the fourth quarter of 2020, they were almost about $1.3 billion. Are we expecting a quarter that could be that high? Or just because there was -- it seemed to be a little -- I got a little confused on one of the comments there. So is that reasonable to think that one of the quarters could be near that $1.3 billion level?
John Greene: Yes. So I'm certainly not in the business of forecasting quarterly. I will tell you this from an expense standpoint. The marketing expense, the balance of the year, we expect will continue to grow into the kind of that envelope we talked about earlier. The quarter-over-quarter comparisons are frankly relatively challenging given what happened in 2020 in terms of our focused approach to look at every single dollar that potentially was going out the door on an expense item. So I would just focus on the broad numbers and the quarterly breakouts, I'll leave it to you to figure out what makes the most sense. We -- here we're looking at 2021 and 2022 and don't specifically try to manage to any particular quarterly number.
Dominick Gabriele: Makes sense. And then, I guess, if you kind of look at what happened this quarter with the, kind of, benefits that you guys have with having not only a lending business, but one that also gains interchange that really helped offset some of the slowdown in loans, I guess. Do you expect that the -- we could see that Discover proprietary network being much higher as far as a growth basis going forward year-over-year versus your loan growth in 2021? Do you expect that divergence to be there for at least a few quarters? Thanks so much, guys. Really appreciate it.
Roger Hochschild: Sure. So our total network spend is benefiting from growth in some of our third-party payments areas. If you include the debit side PULSE is growing very strongly and so that's helpful. But we also believe that having a proprietary network is an important differentiator and gives us a whole series of capabilities that helps us grow our banking business. So again total volume will depend somewhat on some of the partners and we are a little skewed towards debit for the third parties, but we're going to work for a continued robust volume growth.
Dominick Gabriele: Okay. Thanks so much.
Eric Wasserstrom: All right. Well -- sorry, sorry Maria, but thank you very much. If you have any follow-up questions feel free to reach out to join Emily and I, and thank you for joining us.
Roger Hochschild: Thank you, folks.
Operator: Thank you, ladies and gentlemen. This does conclude today's call. You may now disconnect.